Operator: Thank you for standing by, and welcome to the Generac Holdings First Quarter 2024 Earnings Call. [Operator Instructions] As a reminder, today's program is being recorded.  
 And now I'd like to introduce your host for today's program, Kris Rosemann, Senior Manager, Corporate Development and Investor Relations. Please go ahead. 
Kris Rosemann: Good morning, and welcome to our first quarter 2024 earnings call. I'd like to thank everyone for joining us this morning. With me today is Aaron Jagdfeld, President and Chief Executive Officer; and York Ragen, Chief Financial Officer.  
 We will begin our call today by commenting on forward-looking statements. Certain statements made during this presentation as well as other information provided from time to time by Generac or its employees may contain forward-looking statements and involve risks and uncertainties that could cause actual results to differ materially from those in these forward-looking statements. Please see our earnings release or SEC filings for a list of words or expressions that identify such statements and the associated risk factors. 
 In addition, we will make reference to certain non-GAAP measures during today's call. Additional information regarding these measures, including reconciliation to comparable U.S. GAAP measures, is available in our earnings release and SEC filings.  
 I will now turn the call over to Aaron. 
Aaron P. Jagdfeld: Thanks, Kris. Good morning, everyone, and thank you for joining us today. Our first quarter results were ahead of our prior expectations due to higher-than-expected C&I shipments, favorable input costs and strong operational execution. We are reiterating our overall 2024 outlook this morning for net sales, adjusted EBITDA margin and free cash flow conversion, which York will discuss more in detail later in the call. 
 Year-over-year, overall net sales increased slightly to $889 million. Residential product sales increased 2% as compared to the prior year quarter as strong growth in home standby generator shipments was partially offset by a decline in certain other residential product sales. 
 Global C&I product sales decreased 2% from a strong prior year period as a robust increase in shipments to our industrial distributor customers, mostly offset weakness in the domestic rental and telecom markets. Significant year-over-year margin expansion and disciplined working capital management helped drive a substantial improvement in free cash flow generation from the prior year, while we continue to invest in our strategic initiatives.  
 Home standby shipments were in line with our prior expectations during the quarter, increasing at a mid-teens rate from the softer prior year period that included a meaningful headwind from excess field inventory levels. As expected, shipments and activations were aligned exiting the first quarter, signaling that field inventory levels are reaching more normalized levels. The removal of the excess field inventory headwind is expected to support strong year-over-year growth in home standby generator sales in the coming quarters.  
 Power outage activity in the U.S. during the first quarter was approximately in line with the longer-term baseline average as higher outages in January were offset by lower outage activity in the months of February and March. Activations, which are a proxy for installs, declined modestly from the prior year period, reflecting the softer outage environment over the last several quarters and resulting weaker home consultation performance, specifically in the fourth quarter of 2023.  
 Home consultations did increase sequentially during the first quarter but declined on a year-over-year basis from a very strong prior year period. For historical perspective, home consultations in the first quarter were modestly higher than the first quarter of 2022 but were more than 3.5x higher than the first quarter of 2019. Additionally, we experienced moderate sequential improvement in close rates during the first quarter as we continue to execute initiatives that we believe will drive further increases beyond this year, including data-driven lead optimization practices, sales tool enhancements and improved lead nurturing practices. 
 We are also making ongoing investments in engaging with our end customers and bringing awareness of the category to new and broader demographic categories to expand the overall sales funnel for home standby generators. We ended the first quarter with our residential dealer count at approximately 8,800, a net increase of 100 dealers during the period. We have also been experiencing good traction with nondealer contractors as we have seen steady increases in the number of installers in our Aligned Contractor Program, an effort that helps us better strengthen these relationships and improve our installation bandwidth while allowing contractors to purchase products through their preferred channel.  
 We will continue to invest in growing our network of installers including both dealers and nondealer installers as well as in the tools and teams -- as well as the tools and teams to support and optimize these distribution partners, which we view as a key competitive advantage for our business. Our teams have also continued to make incremental operational improvements within our home standby production facilities. These improvements contributed to the margin expansion that we experienced in recent quarters, and this momentum bodes well for future growth and profitability.  
 We believe we are emerging from the recent field inventory challenges with a continued focus on quality and execution as well as an improved competitive position. We will continue to leverage our unparalleled scale and strength in manufacturing, sourcing, marketing, distribution and our strong financial profile to drive growth in the home standby market in the years ahead as we grow the number of consumers engaging in the category, expand our industry-leading omnichannel distribution network, invest in customized sales processes and tools to drive close rates higher and expand the broadest product portfolio in the market.  
 While home standby shipments were in line with our prior expectations during the first quarter, however, our overall residential product sales were lower than expected due to continued softness in global portable generator shipments as well as weaker domestic energy storage in EV markets and continued post pandemic-related challenges with the market for chore products. We expect these specific softer end market conditions to impact our overall residential product category, sales growth for the full year 2024, but our expectations for home standby generator shipments are unchanged relative to our prior guidance.  
 Now moving to our Residential Energy Technology Products and Solutions, our Ecobee team continued to drive year-over-year sales growth in the first quarter despite a challenging retail environment as performance with professional contractors remain strong. Ecobee's number of connected homes and services attached rate also experienced positive momentum during the quarter. Importantly, Ecobee's gross margin improved meaningfully on a year-over-year basis, primarily due to cost reduction initiatives and improvement in electronic component supply chains relative to the first quarter of 2023.  
 Within our residential clean energy product suite, we continue to make progress on key product development objectives. And additionally, fleet health of our installed base has materially improved after substantially completing our warranty upgrade program in 2023 and with a continued laser focus on improving the quality of these products and solutions.  
 We are also moving forward in our partnerships with the Department of Energy as we work to bring clean power generation and resiliency to Puerto Rico via our residential energy storage systems and through our participation in the grid resilience and innovation partnership program in Massachusetts, which demonstrates our ability to integrate multiple technologies to support our homes energy needs while also providing additional value for grid operators.  
 Finally, we remain excited about our collaboration with Wallbox as we will begin shipments of the company's best-in-class EV charging solutions during the second quarter. We continue to expect that the investments we're making to develop residential energy technology solutions will generate attractive returns in the years to come. Our teams are focused on deep integration of the products and platforms we have acquired while tightening our focus on building high-quality solutions where we believe we can create the most value for the consumer.  
 With improved focus and execution and by leveraging our core competencies around sales and marketing, lead generation, distribution, customer support and global sourcing, we believe we can create competitive advantages that will become evident over time as we continue to develop the smart energy home of the future.  
 Switching gears, I now want to provide some commentary on our C&I products. Global C&I product sales declined 2% from the prior year, which was ahead of our prior expectations, driven by a decrease in sales to domestic telecom and rental customers, partially offset by continued growth in our North American industrial distributor channel and certain industrial and international markets.  
 As a result of the strong first quarter outperformance, our expectations for full year 2024 C&I product sales are now higher. Shipments of C&I generators to our North American distributor channel again grew significantly in the first quarter. Quoting activity remained resilient in the quarter, and we continue to drive market share gains within our core product lineup. In addition, our operational execution helped to reduce lead times during the quarter.  
 As expected, shipments to national telecom and rental customers declined in the quarter from the strong prior year period. Consistent with our prior expectations, we believe these end markets will remain soft in the coming quarters. However, despite the cyclical weakness in the rental channel, we continue to believe this end market has substantial runway for future growth given the critical need for future infrastructure projects that leverage our products.  
 Additionally, leveraging our 40 years of experience serving the telecom market, we are confident in our ability to capture the future growth potential around the secular trend of increasing global tower and network hub counts and the increasingly critical nature of wireless communications and services that require significantly greater power reliability.  
 Shipments of natural gas generators used in applications beyond traditional standby projects declined moderately during the quarter, as the higher interest rate environment impacted project ROIs and time lines. Longer term, we view these applications as an important opportunity for Generac, our end customers and grid operators as reliability concerns, energy prices, and market volatility, all trend higher. Additionally, we will continue to build a pipeline of multi-asset projects that utilize both our natural gas generators and our recently introduced C&I energy storage systems.  
 While we are in the early innings of the growth opportunity, we intend to leverage our leading position in natural gas generators to drive market share gains in behind-the-meter energy storage in the coming years as our C&I customers seek to utilize energy storage for short duration outages, variable rate arbitrage, and grid service opportunities, while also leveraging our traditional generator offerings for a complete resiliency solution.  
 We believe we are uniquely positioned to bring these solutions to market and continue to invest in the teams, technology and processes necessary to deliver comprehensive solutions for the C&I market focused on energy resilience and efficiency.  
 Internationally, total sales were lower year-over-year primarily related to declines in intercompany shipments from our Mexican operations to the telecom market in the U.S. as well as lower shipments in certain European markets, most notably for portable generators as energy security concerns eased relative to the first quarter of 2023. Strong growth in shipments to Latin American end markets partially offset this softness. Internationally, International adjusted EBITDA margins held at 15%, consistent with the prior year period as disciplined price cost actions were offset by lower operating leverage on decreased shipment volumes.  
 In closing this morning, we are encouraged by the ongoing improvement in operational execution reflected in our first quarter results as strong year-over-year performance in home standby generators and increased shipments of C&I products to our industrial distributor customers offset end market softness in other areas of our business. The return to our historically robust gross margin and cash flow generation profile, allows for additional capital allocation optionality and further strengthens our confidence in executing our powering a Smarter World Enterprise Strategy.  
 Additionally, the recent acceleration in data center construction activity, driven in large part by the emergence of artificial intelligence, has further increased the growing pressure on electricity supply/demand imbalances and underscores the relevance of the mega trends that underpin our enterprise strategy. Data centers will not only directly increase industry-wide demand for backup power, but have also served to raise public awareness of the looming electrical grid supply constraints.  
 Accelerating demand for artificial intelligence and the deployment of energy-intensive data centers join the growing trends of electrification and the reindustrialization of North America, which is driving power consumption forecasts meaningfully higher than previously forecasted. At the same time, grid operators continue to add intermittent power generation sources and retire baseload thermal generation, while also facing extensive siting and permitting challenges as well as critical equipment shortages.  
 After multiple decades of very little electrical -- growth in electrical demand, the aging power grid in the U.S. is clearly not prepared for the future trajectory of power consumption needed to satisfy these converging trends. And this is even before considering the long-term trend of increasingly frequent severe weather events that are creating additional stress on the nation's electrical grid.  
 Generac's backup power portfolio, in particular, is well positioned to provide home and business owners with the continuity and resilience they demand in an increasingly electrified world. In addition, our next-generation energy technology solutions across both residential and C&I product categories will further expand on our resiliency value proposition by helping optimize for efficiency, consumption, comfort and cost.  
 We believe our broad offering of products and solutions are uniquely capable in helping home and business owners solve the challenges resulting from this accelerating energy transition.  
 I'll now turn the call over to York to provide further details on our first quarter results and our updated outlook for 2024. York? 
York Ragen: Thanks, Aaron. Looking at first quarter 2024 results in more detail. Net sales increased to $889 million during the first quarter of 2024 as compared to $888 million in the prior year first quarter. The combination of contributions from acquisitions and the favorable impact from foreign currency had an approximate 1% positive impact on revenue growth during the quarter.  
 Briefly looking at consolidated net sales for the first quarter by product class. Residential product sales increased 2% to $429 million as compared to $419 million in the prior year. Growth in residential product sales was primarily driven by a mid-teens increase in shipments of home standby generators. This was partially offset by a large decrease in portable generator shipments in the U.S. and Europe given a strong prior year comparison, ongoing softness in the domestic solar plus storage market and lower chore product sales.  
 Commercial & Industrial product sales for the first quarter of 2024 decreased 2% to $354 million as compared to $363 million in the prior year quarter. Foreign currency and acquisitions contributed approximately 2% growth in the quarter. The core sales decline was due to the expected weakness in sales to our domestic telecom and national equipment rental customers. This performance was largely offset by a robust increase in C&I product shipments through our domestic industrial distributor channel, and growth in certain international markets, including Latin America.  
 Net sales for other products and services increased slightly to $106 million, including approximately 1% contribution from favorable foreign currency. Gross profit margin was 35.6% compared to 30.7% in the prior year first quarter due to a favorable sales mix, given stronger home standby shipments, improved production efficiencies, lower input costs and higher pricing as compared to the prior year. First quarter gross margins exceeded our prior expectations as a result of better-than-expected input cost realization and strong operational execution.  
 Operating expenses increased $21 million or 9% as compared to the first quarter of 2023. This increase was primarily due to ongoing investment in our teams to drive future growth and higher marketing spend to create incremental awareness for our products. More specifically, research and development expenses grew at a rate approximately double that of our overall operating expenses, highlighting our ongoing evolution to an energy technology solutions company. Operating expenses for the quarter were in line with our prior expectations as we execute strategic initiatives to drive long-term growth.  
 As a result of these factors, adjusted EBITDA before deducting for noncontrolling interest, as defined in our earnings release, was $127 million or 14.3% of net sales in the first quarter as compared to $100 million or 11.3% of net sales in the prior year.  
 I will now briefly discuss financial results for our 2 reporting segments. Domestic segment total sales, including intersegment sales, increased slightly to $720 million in the quarter. Adjusted EBITDA for the segment was $99 million, representing a 13.8% margin as compared to $68 million in the prior year or 9.4% of total sales. International segment total sales, including intersegment sales, decreased 14% to $187 million in the quarter as compared to $216 million in the prior year quarter.  
 Foreign currency and acquisitions contributed approximately 4% sales growth in the quarter. The approximate 18% core total sales decline for the segment was primarily driven by declines in intercompany shipments from our Mexican operations to the domestic telecom market as well as lower shipments in certain European markets, most notably for portable generators. Adjusted EBITDA for the segment before deducting for noncontrolling interest was $28 million or 15% of total sales, as compared to $32 million or 15% of total sales in the prior year.  
 Now switching back to our financial performance for the first quarter of '24 on a consolidated basis. As disclosed in our earnings release, GAAP net income for the company in the quarter was $26 million as compared to $12 million for the first quarter of 2023. The current year period includes a $6 million noncash expense that reflects the change in the fair value of our warrants and equity securities in Wallbox, a minority investment we made in Q4 of 2023. 
 GAAP income taxes during the current year first quarter were $12 million or an effective tax rate of 31.2% as compared to $8 million or an effective tax rate of 35.7% for the prior year. The decrease in effective tax rate was primarily driven by higher pretax book income that reduced the impact of certain discrete tax items in the current year. 
 Diluted net income per share for the company on a GAAP basis was $0.39 in the first quarter of 2024 compared to $0.05 in the prior year. The current year period included a $2.7 million redemption value adjustment that impacted our earnings per share, while the prior year period included a $9 million redemption value adjustment.  
 Adjusted net income for the company, as defined in our earnings release, was $53 million in the current year quarter or $0.88 per share. This compares to adjusted net income of $39 million in the prior year or $0.63 per share. Cash flow from operations in the quarter and the current year first quarter was a positive $112 million as compared to negative $19 million in the prior year first quarter. And free cash flow, as defined in our earnings release, was positive $85 million as compared to negative $42 million in the same quarter last year.  
 The significant improvement in free cash flow was primarily due to higher operating earnings, a reduction in primary working capital in the current year quarter, and a large onetime cash tax payment in the prior year period, which did not repeat.  
 Total debt outstanding at the end of the quarter was $1.56 billion, resulting in a gross debt leverage ratio at the end of the first quarter of 2.35x on an as-reported basis, a continued reduction from the 2.5x at the end of 2023. 
 With that, I will now provide further comments on our updated outlook for 2024. As disclosed in our press release this morning, we are maintaining our overall outlook for net sales and adjusted EBITDA margin for the full year 2024. For our top line sales outlook, we still expect overall year-over-year growth to be approximately 3% to 7%, which includes a slight favorable impact from acquisitions and foreign currency. However, we now expect a slightly lower mix of residential products and a slightly higher mix of C&I products compared to our previous expectations. 
 As Aaron previously mentioned, we are not changing our outlook for home standby generator shipments for the full year. As field inventory for home standby generators normalizes and we start shipping in line with the end market, we continue to expect a significant year-over-year increase in home standby generator shipments. However, other residential products are facing softer end market conditions than previously anticipated. As a result of lower expectations for global portable generator shipments, continued softness in domestic energy storage and EV markets and weakness in short product sales, we now expect the full year growth rate for residential product sales to be in the low double-digit range as compared to the mid-teens growth rate previously projected. 
 Offsetting this incremental softness in residential end markets, we now anticipate C&I product sales to be higher than previously expected resulting in a mid- to high single-digit rate decrease versus prior year as compared to our prior guidance for an approximate 10% decline. This improved outlook is primarily driven by the higher-than-expected shipments to our domestic industrial distributor customers in the first quarter. Specifically for the second quarter, we expect overall net sales to be nearly flat as compared to the prior year period, with growth rates anticipated to accelerate in the second half of the year. 
 Importantly, this guidance assumes a level of power outage activity during the remainder of the year that is in line with the longer-term baseline average. Consistent with our historical approach, this outlook does not assume the benefit of a major power outage event which could add $50 million to $100 million in additional shipments during the year. 
 Our gross margin expectations for the full year 2024 are now modestly higher than previous guidance given the Q1 outperformance. We now expect gross margins to improve by approximately 300 to 350 basis points over the full year 2023, an increase from the 300 basis point improvement previously expected. Gross margins are projected to increase sequentially throughout the year with second half 2024 gross margins now growing by approximately 200 basis points over the first half 2024 gross margins, given favorable mix, price and cost impacts. 
 Adjusted EBITDA margins before deducting for noncontrolling interests are still expected to be approximately 16.5% to 17.5% for the full year. This guidance assumes that the better-than-expected gross margins previously discussed will be mostly offset by modestly higher-than-expected operating expenses to help support enterprise-wide strategic initiatives. As a result, we now expect second half adjusted EBITDA margins to be approximately 450 basis points higher than first half EBITDA margins, driven by the combination of gross margin expansion and operating leverage on higher sales volumes in the second half of the year. This compares to the previous expectation of nearly 600 basis points of EBITDA margin improvement from the first half to the second half of the year. 
 As is our normal practice, we will also -- we are also providing updated guidance details to assist with modeling adjusted earnings per share and free cash flow for the full year 2024. For the full year, our GAAP effective tax rate is still expected to be approximately 25% to 26% as compared to the 25.2% full year GAAP tax rate for 2023. This is expected to result in a GAAP effective tax rate of approximately 25% in each of the remaining 3 quarters of the year. Importantly, to arrive at appropriate estimates for adjusted net income and adjusted earnings per share, add-back items should be reflected net of tax using our expected effective tax rate. 
 Interest expense is now expected to be approximately $90 million to $93 million as compared to prior guidance of approximately $85 million to $90 million due to an increase in interest rate expectations for the remainder of the year. This guidance assumes no additional term loan or revolver principal prepayments during the year. Our capital expenditures are still projected to be approximately 3% of our forecasted net sales for the year. 
 Our overall cash flow generation guidance remains unchanged. Operating and free cash flow generation is still expected to follow historical seasonality of being disproportionately weighted towards the second half of the year in 2024. For the full year, we continue to expect adjusted net income to free cash flow conversion to be strong at approximately 100% as we continue to monetize working capital build of prior years. Depreciation expense, GAAP intangible amortization expense, stock compensation expense and diluted share count expectations also remain consistent with last quarter's guidance. 
 Finally, this 2024 outlook does not reflect potential additional acquisitions or share repurchases that could drive incremental shareholder value. 
 This concludes our prepared remarks. At this time, we'd like to open up the call for questions. 
Operator: [Operator Instructions] And our first question comes from the line of Tommy Moll from Stephens Inc. 
Thomas Moll: Aaron, starting off on home standby, wanted to see if you could reconcile for us. I think I heard you say shipments are up mid-teens year-over-year, activations are down year-over-year. Can you just help us understand the two of those in context? 
Aaron P. Jagdfeld: Yes. So it's a great question, Tommy. I mean activations have been a little slower this year relative to -- if you look at the outage environment most recently in the last couple of quarters, that outage environment has been weaker than kind of the trend over the last, I would say, a couple of years. So Q1 was actually in line with the long-term average since we've been tracking outages. But again, you look kind of trend-wise, it was a quiet relatively quiet quarters. You get past January, things really slowed down in February and March. And then Q4, as we discussed previously, was a really light quarter relative to kind of historical trends. So... 
York Ragen: And Q1 over the last year... 
Aaron P. Jagdfeld: Yes, Q1 last year was -- '23 was really strong for Q1. So kind of a tough comp that way. So activations were a little bit down. But yes, shipments are up because, again, the field inventory headwind is largely gone now, right? So we exited the quarter and really kind of February, March run rates, activations and shipments were in line with each other. So we think that's a really good sign that we're kind of at a point of stasis with field inventories in terms of them returning to normal, which has been the primary headwind here. So as that abates, that helps us in terms of comping more strongly on shipments, but yet the activation has been a little bit softer as a result, I think, of the most recent outage periods. 
York Ragen: The field inventory drag was a bigger drag last year than it was this year's... 
Aaron P. Jagdfeld: Exactly. 
York Ragen: Quarter, and that allowed for the year-over-year increase in shipments. 
Aaron P. Jagdfeld: Exactly. 
Operator: And our next question comes from the line of George Gianarikas from Canaccord Genuity. 
George Gianarikas: I was wondering, you talked about the tangential impacts of the surge and data center power demand. I was wondering if you could discuss maybe a little bit more in detail your strategy there? And any incremental you've seen direct demand directly from the needs of AI data centers? 
Aaron P. Jagdfeld: Yes. Thanks, George. So our product range is typically underneath the range of products that are being used for -- purely for backup for the data center market. And that's a market that, they use very large blocks of power, and that's dominated on a direct basis by the large diesel engine manufacturers that are out there. There's a handful of them in the world, and they sell all the major data centers on a direct basis. 
 So we don't have a product like that, and we don't have any plans to develop an engine range. Those are engines that get used in tug boats and mine haul trucks and trains and things like that. So much different applications than what you'd see just outside of power generation. 
 That said, we do serve some of the edge data centers where the power needs for backup are not as great. And we also have seen some opportunities come across relative to natural gas backup. So today, the backup generator market for data centers is almost entirely diesel, again, driven by these large diesel engine players. But we are seeing issues around siting and permitting with certain large concentrations of diesel engines. 
 So in Virginia, as an example. There's some high-profile areas where permitting has been challenging to obtain for the kinds of -- the raw numbers of diesel engines that have to be cited and permitted to operate for backup. So some of these data center EPCs and owners have turned to natural gas as a potential option. 
 Now the blocks of power are smaller because natural gas doesn't have the density in terms of energy, as you see in diesel fuel. But nonetheless, the emissions are quite a bit cleaner, the emissions profile of those products. So that could be a potential opportunity. We continue to grow our natural gas generator line in terms of total output for those products. So we think there could be opportunities, but we think they're primarily going to be smaller edge data centers. 
 Probably the bigger opportunity, George, is indirectly, right? The amount of data centers that are going to be coming online here between now and 2030, so call it, 5, 6 years. It's estimated that the amount of power that will be drawn from those data centers will triple from the current levels that we're at today. It's almost the equivalent like, if you step back, if we get to 2030, and if that happens, it's the equivalent of adding 40 million households to the grid. So we just process that for a second. I mean, in terms of just the raw number of -- the raw increase in demand that's going to come from these data centers in a very short period of time. 
 And for those of you who have been around the utility industry or even the energy industry for any length of time, you know that it's really challenging for grid operators and utilities to react quickly because there's a process involved, right, for, again, citing and permitting of new plants, the approval process through different regulatory bodies. And then, of course, what are you going to -- what is the generating capacity you're going to add? Most likely today, it's going to be intermittent, right? It's going to be solar or wind at a utility scale. 
 You can do that cost effectively to get to the nameplate rating of a thermal plant. But unfortunately, those are intermittent sources. So you need to have a different strategy with how you're going to operate on a 24/7 basis. So you either need to add storage of some sort, which is quite a bit more expensive, obviously, and that would obviously have to be passed along to rate payers or you've got to come up with a different approach, virtual power plants, other grid services type programs to help offload demand during peak times or to augment supply during those peak times with distributed assets that might be out there and available on the grid. 
 We're definitely seeing much greater interest with grid operators and utilities in these types of conversations and programs. But again, many times, they're bespoke. They're highly customized and there's complicated processes to get to get these programs up and running. And so it's just going to take time. And data centers and the data center operators are not going to wait. The opportunity with AI is just -- it's far too great, and it's coming at us very, very quickly. 
 So we think that structurally, what that's going to result in just on a net basis is reduced quality of power. And I just don't think that, we even have a remote inkling of what's going to happen over the next 5 to 10 years in terms of power quality. It's clear to me that what we're going to see here in the future is a critical degradation of power and shortages. These are not weather-driven outages, although those will happen because the grid is -- continue to be susceptible to weather. 
 But it's really the supply-demand imbalance that's going to continue to grow. As on the supply side, we're dealing with replacing traditional 24/7 thermal assets like coal and gas, with intermittent assets like wind and solar. And then on the demand side, we're racing to electrify everything, and we're adding all of this additional load profile from data centers. So it's just not a great setup for power quality in the years ahead. 
Operator: And our next question comes from the line of Mike Halloran from Baird. 
Michael Halloran: So just digging a little deeper on the C&I side of things. It sounds like a pretty similar outlook for the rental and telecom channels. Maybe talk to 2 things here. One, how you're thinking about the seasonality for the businesses in the areas where the outlook has improved? And then also the confidence in the sustainability of the run rate. And so more of the distribution side, some of the other areas? And any kind of evidence you would point to for the sustainability piece and why you think that might have some nice legs here relative to what you were thinking a couple of months back? 
Aaron P. Jagdfeld: Yes. Thanks, Mike. So our C&I business has continued to perform quite well in the face of -- as you noted and as we've been noting for quite some time now, in the slowdown, the cyclical slowdown that we're experiencing in the rental markets as well as the telecom markets, which, again, guidance for rental and telecom are largely unchanged for the year. Really, the change has come from our industrial distribution channel, which is, again, they're serving businesses. They're serving the infrastructure like wastewater treatment plants and school districts and other types of applications, a very wide range of applications, health care, manufacturing plants, even data centers, as I mentioned before, data and telco, outside of the strict telecom market that we talk about oftentimes on a direct basis. 
 But that industrial distributor channel for us has been a growing channel for really the greater part of the last decade. We've invested heavily in it. We've done some acquisitions along the way where we've been able to attack some of the markets where we felt we were underrepresented from a market share standpoint around the U.S. We've infilled that with owned distribution, if you will. And that has -- that playbook has worked out quite well for us. And we've been able to pick up share is really kind of flat out, the answer. 
 So it's coming in stronger. It's been very resilient, right? We haven't necessarily seen the breakdown there. I think that's representative of the broader power quality discussions that we've been having here and have had for some time, right? Whether you're talking about the supply demand imbalance that I just prattle on about or just the continued challenges with reliable supply and also just the deeper electrification within businesses, right? I mean businesses today without power, you just -- you can't operate. 
 And we used to point to certain markets or certain applications that were "critical" for backup power. I would say almost every business today would say they critically rely on a continuous source of power. So without that, whether it's inventory spoilage or whether that's an interruption of revenues, significant disruption to their businesses exist when you get these outages, and outages over time have been on the rise. And I think you're just seeing that manifest itself in a broader penetration rate for backup power in these buildings that represent the C&I market in North America. 
 And we've been very pleased with the resiliency there. And so that's largely offsetting the weakness -- the cyclical weakness that we were forecasting here for rental and telecom. And we're saying, hey, look, we like the trends for that industrial distributor channel continue to be pretty solid... 
York Ragen: Quoting is hanging in there... 
Aaron P. Jagdfeld: Quoting is hanging in there. The quote-to-sale conversion process has continued to hang in there. And we continue to invest in it. And I think all of those things when you line them up are really what are helping us offset the broader weakness in those other markets. 
Operator: And our next question comes from the line of Jeff Hammond from KeyBanc Capital Markets. 
Jeffrey Hammond: So just back on residential One, maybe just speak to destocking and whether you think it's done, if not how much left? And then it just seems like IHC activation trends were kind of still pretty weak. And so just want to come back to like, I know it was kind of in line in the quarter, but what gives you confidence, an unchanged view and kind of the ramp into the second half outside of just seasonality? 
Aaron P. Jagdfeld: Yes. Yes. Thanks, Jeff. So yes, from a destocking perspective, again, we exited the quarter, February and March, activations and shipments were pretty much in line. So we felt like -- and again, based on all the data we have and based on the extended period here of destocking that we've been experiencing really since the third quarter of 2022, we feel like we're finally through that. And so that's in line with our prior expectations. And that largely is behind, I think, the -- again, as we -- as I mentioned previously, the ability to kind of post those mid-teens increases year-over-year in home standby shipments. So we don't have that field inventory headwind now that that's primarily gone. 
 In terms of the weaker trends recently here, activations in IHCs, maybe a little bit underneath what we were anticipating, but not dramatically off the pace. So we feel pretty good about seasonally -- frankly, January was a solid month with outages, February, March, not so good. In fact, they were -- February and March were really quiet. April, on the other hand, came back strong. And so you kind of get into the seasonal time frame here for these types of products, and we're seeing the kinds of upticks that you would expect to see in these key metrics that we track, both leading and lagging indicators. So we feel pretty good about that guide and hanging on to that guide for the year. 
 I think that, again, we've said this that the category itself is less sensitive to some of the interest rate movements and things that you might see in other typical, what you might call, consumer discretionary types of categories. Power outages create, I think, a different -- they elicit a different response, right? I mean it's just -- it's an emotional category a lot of times. Also the demographic that's traditionally buying these products. These are -- they skew older. It's older Americans with their homeowners, the aging in place trends that we've talked about previously are very much intact. 
 And I think that these are homeowners that are just less sensitive to movements in interest rates. It doesn't mean around the edges that we won't see decreases, market demand decreases. And I think that's largely played out here in the back half of last year. I mean interest rates have been high now for a while. It's not -- this isn't a new phenomenon. So I think whatever impact that higher interest rates may have had on the margins, on the edges of the market, we think that's largely baked in at this point. 
 I do think that, again, just thinking forward, to the balance of the year, I'll just also point out that the Colorado State University, hurricane forecast was, I think it was -- what was it? The most active, York, forecast ever? 
York Ragen: Ever. 
Aaron P. Jagdfeld: So I mean we don't... 
York Ragen: Preseason forecast. 
Aaron P. Jagdfeld: Personally, we don't tend to put a lot of stock in those forecasts because they -- I have a hard time believing that if you can't tell me what the weather is going to be next Saturday, how can you tell me what it's going to be in September. But again, I think we're looking at longer-term trends around air temperatures, water temperatures, the relaxing of the El Nino events. I think those are things that are important to how forecasters think about the long-term, the bigger cycles around things like hurricanes. So that's coming as well. 
York Ragen: But our guidance assumes baseline outage activity, doesn't assume any majors. 
Aaron P. Jagdfeld: Yes. 
York Ragen: And I think it's important also to mention like the category is seasonal. So second half is always stronger than the first half. 
Aaron P. Jagdfeld: Definitely. 
York Ragen: You would -- if you're assuming baseline level of outage activity, you would expect a nice sequential increase from first half to second half in that home standby business to support our guidance. 
Operator: And our next question comes from the line of Brian Drab from William Blair. 
Brian Drab: I was wondering if we could just focus in on energy technology for a minute. And I'm looking at the slide from the investor event last year and about 40% of the incremental revenue between 2023 and 2026 and the bridge here is from incremental revenue from energy technology, and C&I, and residential. Can you just give us an update on how you feel about capturing that $700 million incremental revenue? And what's the updated outlook, C&I and resi? 
Aaron P. Jagdfeld: Yes. Thanks, Brian. So I mean, obviously, we gave those guidance points last fall. And we're not in a position today to update the next couple of years. But I -- we can talk specifically to Energy Tech and how we're thinking about that. Obviously, the market for solar plus storage, the market for EV charging, the market for some of the products that are within that complex. I would say are weaker today. The near-term market dynamics are clearly more negative coming off of, the pull ahead from NEM 3.0 in California and then just higher interest rates. I think the impact of that's having on those markets and the demand for those products. So that's the negative news. 
 The good news is we're still out in the market with our new products. We're on target for our launch plans later this year. And I think we're optimistic that as we turn the corner into 2025, look, interest rates are not going to remain high forever. And so I think -- and the NEM 3.0 pull ahead, pull in, I think it's pretty well documented that, that seems like the market is finally kind of emptying itself of some of the inventory challenges that the OEMs that are providers to that market today have experienced here over the last several quarters. I think that's starting to abate. 
 I think it's perfect timing by the time we get into the market, I think the market is going to be where we need it to be so that we can start to see success. So I wouldn't say we're in a position today to think differently, other than near term, right? And so near term, this year, we're probably going to be a little bit on the low end of our range. Again, it's not a big part of our business today. So a small move, and that's part of the residential, the other residential products being softer that we talked about in our prepared remarks. Some of that is the solar plus storage and EV charging just being probably a little bit more muted here in terms of market demand in the short term. 
 But again, if you're talking about over the next -- through 2026, for the next 2 or 3 years, we're just -- we don't think that that's probably going to change dramatically because I think the market is going to come back by the time we're in a position to participate in that. 
Operator: And our next question comes from the line of Jerry Revich from Goldman Sachs. 
Jerry Revich: Aaron, can you just expand on your comments around gross margins in the quarter? We were pleasantly surprised. It sounds like the cost came in better than you expected as well. So what's the magnitude of improvement that you're seeing from supply chain normalization and going back to normal efficiency levels, freight normalization? And to what extent can that continue? Can you flesh out that part of the gross margin performance in the quarter and opportunity from it? 
York Ragen: Yes. Absolutely, yes. No, we were pleased with the gross margin performance that did beat expectation. It was well over 1% increase there versus expectation. And the reality is we guided that input costs would improve throughout the year in 2024. The reality is we just saw the realization of that improvement sooner than we expected here in Q1. So that's great. So the fact that, that came in ahead of sooner than expected. So we got to beat in Q1. And then I guess what that does is just derisks that assumption in the second half, that gross margin improvement that we expect in -- from first half to second half, we're seeing it now. So it derisks that assumption. So that's what's going on behind the gross margin beat. 
Operator: And our next question comes from the line of Stephen Gengaro from Stifel. 
Stephen Gengaro: So my question, I guess, it's two parts. And one is, has there been any change to the competitive landscape given that I think your biggest competitor has kind of been taken private? And then maybe if you can kind of blend into that answer, just sort of the margin mix question. I imagined the strength in home standby relative to other residential products is a margin positive for the balance of this year? And any way to sort of quantify or think about that? 
Aaron P. Jagdfeld: Yes. I mean, definitely, that is the case, right? I mean the margin profile of the standby products for residential is greater than every product we offer here in the company, frankly. So it's a very strong margin product for us. And so the margin mix to that point would be favorable. 
York Ragen: I mean gross margins were up 5% year-over-year in Q1. I'd say half of that was a better mix as home standby grew mid-teens. 
Aaron P. Jagdfeld: Yes. So that's played out. In terms of the competitive landscape, yes, there have been -- there's a couple of kind of developments in the competitive landscape. As you mentioned, one of our competitors here was -- is in the process, I think, of being taken private. They haven't -- are being taken through private equity, and we're a private company already but being acquired by private equity as a carve-out of the bigger enterprise there. We don't believe that's closed yet or haven't been told it's been a closed transaction yet. But, I mean it's interesting to see how it plays out. I mean, take private like that with kind of the -- there's a debt load. 
 We went through that. We went from privately owned to private equity owned back in 2006 time frame, and it's different to operate a company with a high degree of leverage and a large amount of debt. So I think that, if I were in somebody's shoes there, that's something that is an adjustment period and takes time to kind of work through. It's also a complicated carve-out of a 150-plus year-old company. So that may be a complexity as well. 
 I don't know that it will impact the competitive landscape that much. I think where that company -- where they compete quite well with us is on the C&I side of the business. And they've got quite a nice C&I business, good competitor there. On the residential side, they're quite a bit smaller. They may see opportunities there. But I think this is a place where we've done well, I think, to use our scale to our advantage. And that's, I think, largely why, as we've said in our prepared remarks this morning, we actually think we've improved our share position here over the last several quarters. 
 So we continue to spend heavily on driving leads for the category, driving awareness for the category, investing in our distribution, investing in our sales processes and all of those things continue to provide nice returns for us in the way of continued gains in share and again, a market opportunity that still remains really, I think, pretty huge. I think we've been doing this with home standby for a long time, but penetration rates are still only, what, 6.5%? 
Kris Rosemann: 6.25%. 
Aaron P. Jagdfeld: 6.25% [ Kris ]. So I think there are -- for us, when you think of every 1% of penetration being kind of a $2.5 billion to $3 billion market opportunity, there's a ton of runway left here, and it's worth the -- it's worth being, I think, being a net investor here, if you will, in the category. 
Operator: And our next question comes from the line of Donovan Schafer from Northland Capital Markets. 
Donovan Schafer: I want to dig in and kind of unpack in industrial distributor channel a little bit because that was a positive development this quarter offsetting some of the other C&I kind of subsectors or channels or however you want to call it. So -- and Aaron, you provided some good information about like this is something you guys have kind of been building for better part of the last decade. But it doesn't get a lot of discussion in terms of like the mechanics and the kind of, I don't know, origin story or whatever. And so it'd be good -- I want to try and get a handle on kind of significance in some things. 
 Like the first thing would just be, can you give us a general sense of like what portion of C&I revenue that can make up? And then what portion of that would be distributors that you actually own? And some of this is also getting at the issue of like -- is this a case where stuff could get shipped to distributors but doesn't necessarily have an end user and so you can have like a channel buildup here? Or do the dynamics not work like that? So any time something ships through a distributor and you recognize revenue, there's a project or an end user that's going to be taking delivery. Just how that works in its size and significance? 
Aaron P. Jagdfeld: Yes. I mean that's a significant portion of our total domestic C&I sales. So again, it's -- I think when you kind of step back, it's close to 70% of the total for domestic C&I. So it's 70%, 75% of the total, with the balance being, again, the mobile products and telecom products, and again, those are down largely here. So as we documented, they go in cycles. We're a big player in those markets in rental and in telecom. But when those large customers are not spending CapEx there. They -- that disproportionately impacts us because we supply a lot of equipment into those areas. 
 So to have the industrial distribution channel grow as it has been, is a really important, I would call counterweight, if you will, to some of those larger customers or larger concentrations of product and customers in rental and telecom. You're right, we don't talk a lot about the industrial distributor business, mainly because we spend an inordinate amount of time talking about residential, our consumer power businesses and the residential standby and Energy Tech. 
 And -- but underneath the covers here, this has been, I think, a really nice success story. We've got a great team there that executes well. You may recall, Donovan, we announced that we're building a new factory here in Wisconsin, in Beaver Dam because we believe in the growth of those products and the importance of that to our business overall and it's an area where we needed some capacity. 
 We've been building bigger and bigger products. We also did a pretty massive investment in our R&D space here in Waukesha, Wisconsin. This is our technical headquarters, specifically go after larger opportunities in the C&I space and natural gas, in particular, and some of the things we've been talking about with natural gas beyond standby kind of market opportunities. 
 Even though that's cooled off here recently in the higher interest rate environment, we do think that, that's really important. And I would say this, one of the things that maybe the unsung hero of our success when the markets around telecom in particular, when they cycle on, one of the reasons that we've done well there is because we can provide kind of coast-to-coast coverage with our distribution to provide the kind of service and support that those large accounts demand for their fleets. And that's kind of a really important aspect of our industrial distributor channel. 
 Again, the sales don't flow through there, but the service and support is a part of what they provide for us. So the 2 are kind of interrelated in terms of telecom and the -- we call it our IDC channel, our Industrial Distributor Channel. The products that go through IDC are very bespoke, highly customized. No 2 buildings in terms of their electrical requirements are the same. So we produce -- it's basically a configure-to-order business with a long sales cycle, with quoting and then it turns into an order, and then you've got lead time for these products that can be anywhere from as short as 8 to 10 weeks and as long in some cases, is out to 52 weeks depending on the size of the products and the type of products. 
 So there's a lot of influencers in the process from specifying engineers to even the architects that work on these projects and certainly, the owner operators, the electrical contractors, the general contractors, everybody plays a role in selecting the solution that is needed for a particular application. So over the last decade, on top of building out that industrial distributor channel, the actual distributors themselves and strengthening that channel we've been focused on engaging with all of those decision-makers up and down the value chain there. 
 And I think that's really helped us quite a bit in terms of getting Generac specifically named in a specification. That's really important. If you're not specifically named, that becomes challenging for somebody to find your product or even your distribution on a particular bid project. So those are the things that I think, engaging with those specifying engineers in that community and spreading the word about, in particular, the importance and the advantages of natural gas over diesel, which -- we're the largest natural gas genset provider for backup power in the world. And we hold an advantage there over others that we like to talk to distribution about. 
 So I think that is part of -- again, part of this story overall is natural gas backup power is growing more quickly than diesel backup power, outside of the large data center market. Have to qualify that now, and that's not a part of the market we play in. So in the served market where we play, we're seeing gas growth rates exceeding diesel growth rates. And that's been the same for some time and we're a beneficiary of that, and so is our distribution. So you're seeing all of that play out in that -- in the strength that we're talking about here on the industrial distributor channel. 
Operator: And our next question comes from the line of Kashy Harrison from Piper Sandler. 
Kashy Harrison: So Aaron, I think you indicated that HSB activations were down modestly year-over-year. Can you just help us quantify that? What does modestly mean? And then you also indicated HSB shipments and activations were aligned in February and March. And so I was just wondering if, York, you could just help us think through 2Q residential revenues. I'm just trying to understand how we get from being up 2% in 1Q to being up low double digits for the full year. 
Aaron P. Jagdfeld: Yes, Kash. So the -- from an activation standpoint, I mean, modestly, it's kind of at mid-single-digit range, which is, again, not too far off of our expectations in terms of year-over-year. We just -- we kind of expected it to be a little bit softer coming out of the -- we had IHCs in Q4 were lower as a result of the weaker power outage environment, frankly, Q3, we really didn't have much of a season last year in terms of the outage environment. So kind of the back half of last year maybe wasn't -- didn't play out as strongly as it might have historically. And as a result, it just -- you see that play out in fewer installs here year-over-year in the quarter. 
 But again, not dramatically so, which I think is good. And I think when you look historically, the category is still up, it's up dramatically from where it was kind of, you go to 2019 ranges, those levels of activations and we're up significantly from that area. So the category is quite a bit bigger today than it was then. But I think just a little bit off near term here from the weaker power outage environment in the last couple of quarters. 
York Ragen: Yes. And then your comment about like as residential paces from Q1 to Q2, we did -- in Q1, we still did undership the market. We are still bringing field inventory down and again, by the tail end of the quarter, as we get into Q2, we feel like we're back to normal for the most part. So we still did undership the market. If you recall, we undershipped 2023 by around $300 million. I guess, I would say, 1/4 of that probably a little less than 1/4 of that was what we undershipped the market in Q1 here. So we got back to normal. 
 So you won't have that in Q2, that undershipping. And then just the seasonality of the business picks up from Q1 to Q2 in that category. So that's again, that's -- you got to look back at what historical seasonality looks like in that, again, supports the guide for residential products in the future. 
Operator: One moment for our next question. And our next question comes from the line of Jon Windham from UBS. 
Jonathan Windham: I'll keep it quick as we're running a bit long. Just any sort of comments around you mentioned some weakness in the non HSB residential market. But one of the really strong markets right now is storage deployments. Residential storage deployments are up 200% year-on-year in California. Just some comments about the competitive landscape and your ability to compete in that market. I appreciate all the insights to that. 
Aaron P. Jagdfeld: Yes. Thanks. Yes. So storage attach rates are up dramatically. Solar plus storage install rates, as we understand them are -- certainly, new solar projects are down significantly. 50%, 60% year-over-year in California. And so you are seeing greater attachment rates because of the NEM 3.0 position. And that's where storage I think you're seeing just the absolute numbers are probably up because of that higher attach rate. California for us, that's a market largely dominated by Tesla. It's not a market that we've historically been strong in. So we're just -- we're really not participating dramatically in that. 
 I will say, I mean, our storage business is up year-over-year. So it's not double. It's not 200%. But that's an area that we are seeing some growth off of a pretty hard bottom as we've described over the last several years. But actually, as we also called out, I think the bigger challenge in the other residential products, actually, it's portable generators. We haven't talked a ton about that. I mentioned in our prepared remarks that both domestically because of the softer outage environment here over the last several quarters. 
 And then internationally, international portable gen sales were down hard Q1 year-over-year. There was a lot of power security concerns in the year ago quarter in Europe, largely related to the Russia-Ukraine war. And that's abated somewhat. And so we've seen the portable gen demand come off hard in the international markets for us, which is specifically kind of the European markets. 
 And then our chore business, which we don't talk about a ton, but that suffered from -- that's really suffered last year. The longer-term trends there coming out of the pandemic, there's a lot of kind of buy ahead on equipment, both at the end market level as well as the distribution level. And you can see all the public comps out there that are involved in this space on the residential chore product space. And it's been a pretty brutal market over the last -- really the last 1.5 years. And we were hoping that, if we got a little bit of a spring weather here, that was kind of built into the forecast, that, that would be helpful. 
 But what we found is distribution partners, they didn't sell through their snow season. It was a weak snow season, which with high snow inventories, they were reticent to invest in spring chore products. So that's been delayed a bit. Now thankfully, weather is picking up here, trends more near term or a little more positive with chore products, but it's still been -- it's been a rough go. So it's really chore and then those energy tech markets that have been softer and then the portable generator pullback that we talked about, which were kind of headwinds for us in the quarter. 
Operator: And our next question comes from the line of Jordan Levy from Truist. 
Jordan Levy: Appreciate all the comments on gross margins here. And I just wanted to see on the cost side, if you could give us some more specifics around what the input cost reductions were that you're realizing in the first quarter? And as a quick second part of that question, just curious on the sensitivity of costs overall to copper prices, specifically given what that commodity has done over the last month or 1.5 months? 
York Ragen: Yes. No, I think it's a number of things in terms of -- well, steel is probably our largest input and we've really -- those steel costs, I guess, over the longer term have come down. And as we've been turning through our higher cost inventory, we're just seeing those lower steel costs come through, again, maybe a little bit faster than we originally anticipated. So steel is an important factor. Obviously, logistics, freight costs, while those came down throughout last year and again, we're starting to turn through that inventory and the realization of those lower freight costs, we're starting to see, that's part of the improvement, just better plant efficiencies. I think that's better plant absorption. We're seeing that as well in terms of strong execution there. 
 So I would say those are probably the biggest factors on sort of how we were able to realize the better gross margin faster than we originally anticipated. In copper, I guess, copper, it does have an impact, but I would say it's lesser so than.. 
Aaron P. Jagdfeld: And there's lags. I mean... 
York Ragen: If you add to the steel side, yes. So copper has gone up. But that, I would say, is in terms of lower impact relative to steel. 
Operator: And our next question comes from the line of Vikram Bagri from Citi. 
Vikram Bagri: I wanted to ask about R&D expense, which increased noticeably in the quarter. I was wondering if you can share where your R&D dollars are being spent; in your previous question -- answer to your previous question, you had mentioned that there are no plans of launching products that directly target the data center market. 
 So I imagine R&D is being largely focused on energy technology. If you can share the progress of next-gen MLPE storage products, is the target to compete in that market at a lower price point with lower failure rates or an ease of installation or there are new features or USPs, we should keep in mind that give you an edge against the competition in that market? 
 And then lastly, you had mentioned OpEx will be roughly 23% of sales last quarter, but wasn't mentioned today, I wanted to make sure the guidance has not changed, given the R&D spending update and on your comments on lead generation spending this quarter? 
York Ragen: Yes. This is -- on the last part on the OpEx guidance, I did -- in our prepared comments, we did mention that the outperformance in Q1 on the gross margin would get roughly offset by a little bit higher OpEx, again, as we continue to invest in those strategic initiatives. It's early. So we basically held the EBITDA margin guide where we had it from last quarter with the offset -- the gross margin outperformance slightly offset by the OpEx side. 
Aaron P. Jagdfeld: Yes. And then on the -- Vikram, on the R&D side, yes, we're spending very heavily largely a lot of those R&D dollars. I mean it's across the board on all of our products, but obviously, the energy tech products. We are knee-deep in our next-generation storage devices, in the residential side that we'll be bringing to market here later this year. And then, of course, our rooftop solar products, power generation products, inverter products that we continue to invest in. We have our next generation, those products coming to market in early '25. 
 So there's a tremendous amount of effort right now. We've been building teams. You may have seen our announcement. We opened a tech center in Reno, Nevada. We've been filling that with people. We've got tech offices in Portland, Maine. We've got tech offices in Vancouver. We've got tech offices in Bend, Oregon, in L.A., in Denver. And so we've really cast a pretty wide net here as we build out, the talent level needed to compete with obviously some very formidable companies there that supply not only storage but also on the inverter side. 
 So from a USP standpoint, again, we'll talk more about these product launches as we get closer, but we believe we've got some novel approaches to certain elements of the tech -- but we also think that there's the integration of all of these products together more seamlessly. Today, if you want to put together a solar system with a storage device, with an EV charger, with thermostatic controls, with even a generator for longer-term backup, load management, all of these different devices, that's 3, 4, 5 different apps you've got in your hand. 
 We're working on a project that is unifying all of these technologies on a single platform, really utilizing the Ecobee experience. It was the central part of our strategy in the Ecobee acquisition. The ML and AI that they deploy today in the thermostatic controls environment and the really high-quality user experience that they bring together. We want to bring that to all these products. And we think that will be unique to the marketplace. 
 When you look across the market today, we don't think anybody has the breadth of offering that we have and putting it all together on a single platform to help homeowners in particular, to help them control not only resiliency, which is central to our approach here, but also comfort and cost, which are as electrical rates, utility rates continue to drive upward. Cost is going to be, I think, one of the things that is going to creep up on rate payers in a way you're already seeing evidence of it in certain markets like California. 
 And it's going to drive homeowners to investigate other solutions, distributed solutions, solutions that help them give them more information and more control over the power that they generate, the self-generation that they store, that they export back to the grid and the resiliency that they absolutely demand in their own homes. So I think that over time, this will become more evident as these products get into the market. But I think and with our brand and our distribution and our sales and marketing competencies, I think you're going to see that we believe we'll have success there in the long term. 
Operator: This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Kris Rosemann for any further remarks. 
Kris Rosemann: We want to thank everyone for joining us this morning. We look forward to discussing our second quarter 2024 earnings results with you in late July. Thank you again, and goodbye. 
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.